Operator: Good morning, ladies and gentlemen, and welcome to Baxter International's First Quarter 2020 Earnings Conference Call. Your lines will remain in a listen-only mode until the question-and-answer segment of today’s call.  As a reminder, this call is being recorded by Baxter and is copyrighted material. It cannot be recorded or rebroadcasted without Baxter’s permission. If you have any objections, please disconnect at this time. I would now like to turn the call over to Ms. Clare Trachtman, Vice President, Investor Relations at Baxter International. Ms. Trachtman, you may begin.
Clare Trachtman: Thanks, Katherine. Good morning, and welcome to our first quarter 2020 earnings conference call. Joining me today are Joe Almeida, Baxter’s Chairman and Chief Executive Officer; and Jay Saccaro, Baxter’s Chief Financial Officer. On the call this morning, we will be discussing Baxter's first quarter 2020 financial results. A supplemental presentation to complement this morning's discussion can be accessed on our website in the Investors section under events and news. This presentation includes related non-GAAP reconciliations. With that, let me start our prepared remarks by reminding everyone that this presentation, including comments regarding our financial outlook, new product development, business development and regulatory matters contain forward-looking statements that involve risks and uncertainties. And of course, our actual results could differ materially from current expectations. Please refer to today's press release and our SEC filings for more detail concerning factors that could cause actual results to differ materially. In addition, on today's call, non-GAAP financial measures will be used to help investors understand Baxter's ongoing business performance. A reconciliation of the non-GAAP financial measures being discussed today to the comparable GAAP financial measures is included in our earnings release issued this morning and available on our website. On the call this morning, we will be discussing operational sales growth, which adjusts for the impact of foreign exchange and the acquisition of Seprafilm, which closed on February 14 this year. Now I'd like to turn the call over to Joe. Joe?
Joe Almeida: Thank you, Claire, and welcome to everyone joining us on the call today. I sincerely hope that you, your families and colleagues are all safe and well during this difficult time. As we continue to deal with the evolving impact from the global COVID-19 pandemic, our Baxter team salutes the selfless health care providers and first responders who are rising to the enormous challenges with bravery and compassion. Their dedication inspires us all. This is uncharted to rain for the health care industry and society at large. At the same time, Baxter's path forward is clear. It is defined by our mission to save and sustain lives, just as it has been for nearly 90 years. We are doing everything we can to support patients, the healthcare system, our employees and the communities we serve worldwide. Baxter's medically essential portfolio places on the front lines of this pandemic. We are experiencing extraordinary demand for many products, including our PrisMax and PRISMAFLEX, continuous renal replacement therapy, devices and associated consumables. Our MINI-BAG Plus drug delivery system, the Spectrum IQ infusion system in SAS, plus IV Solutions parenteral nutrition therapies and injectable drugs used in the ICU and across the hospital.
Jay Saccaro: Thanks, Joe, and good morning, everyone. As Joe mentioned, our first quarter performance reflects the value of our medically essential portfolio in the current environment as well as our commitment to meeting the needs of patients and providers globally. Our ongoing business transformation efforts, effective commercial execution and improved balance sheet flexibility position us to more effectively respond to the COVID-19 pandemic with speed and agility. Turning to our first quarter 2020 results, global sales of $2.8 billion increased 6% on a reported basis and 8% on both a constant currency and operational basis, reflecting the underlying strength of our business, coupled with increasing demand for select products resulting from the pandemic. This heightened demand notably accelerated during the last two weeks of the quarter. We estimate that the COVID-19 related demand contributed approximately $45 million to sales in the quarter.
Operator: Thank you. We will now begin the question-and-answer session.  And our first question comes from Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hey, guys, congrats on a really solid quarter here, really impressive considering the environment. I just add back, Jay, on the comments are in 2Q, some helpful comments here. But looking at what other companies are saying, it seems like 2Q is the bottom, and we expect sequential improvement from 2Q. Would that -- is that a fair comment? Is that applicable to Baxter, any comments on how we should think on the trajectory here would be helpful.
Jay Saccaro: Vijay, yes, I'll start with some commentary and pass it over to Joe. We do see a challenging Q2. Our expectation is that will probably be the most difficult quarter of the year. And then in Q3 and Q4, we anticipate in our -- one of our base case scenarios a level of rebound and acceleration. The only thing to keep in mind with respect to our Q4 is the very strong Q4 that we had last year. I mean, look, there's a lot of uncertainty with respect to how the pandemic will evolve and hospital purchasing patterns towards the end of the year. But I think generally, the way you've described it, is the way we think about it, at least in certain scenarios. Joe?
Joe Almeida: I think you did a good job, Jay. You covered both parts that I was going to cover.
Vijay Kumar: And just one follow-up, maybe this is for Joe. Joe, I think in your prepared remarks, you mentioned oXiris rate. And we've been hearing about cytokine storm for the COVID patients. How well -- how should we think about the revenue opportunity for this product, or any comments on either oXiris or sticking to renal? Any updates on AAKHI? I think that would be helpful. Thank you, guys.
Joe Almeida: Good morning, Vijay. The oXiris has a special filter. We make them in Europe, and it has a heparin coding to it, which makes it ideal for the situation where we're seeing now. We don't have enough data on the COVID or the coronavirus impact on the filter just in the very beginning, the use in the US. It seems to us that it's lasting longer than our current filter because it prevents the coagulation. It usually clogs the CRRT filters a little faster. So we are working with the FDA, and we work internally and with our partners in the industry to collect the data, to do investigational work, so we can propose keeping the product on the market once the crisis subsides and the agency feels that the product may not be of need anymore. So we will do everything we can to register the product in the US with the FDA. It is a product that we've seen outside the US really good results. So we hope that we can prove the point that this is a great therapy for sepsis treatment because the type of filter because the coding. We also -- going to the AAKHI drive. It proves the point that home therapist is ideally position for a crisis where there's so much transmission of virus by a realization and close contact. So I think AAKHI -- no, I cannot comment where the rule is at the moment, but we think that, that is the right move by the government, and we think it's going to end up going through. It's just a matter of time. But that has not stopped Baxter from its investments. We continue to invest. As a matter of fact, yesterday I just had a meeting on a phase two investment for this purpose. Remember that our growth in home therapies is going up. Now, we are -- in the U.S. alone, PD home therapies was about 13%. Now, APD home therapies in the U.S. was about 13% growth. So because that kind of growth, you need to have this kind of investments. So we're optimistic about. So, even if the rule doesn't come as fast as we wish it had come, work with our partners, VIDA and other partners in the U.S. We are advancing the home therapies. And rest assured, we're going to continue to make the investments.
Vijay Kumar: Thank you, guys.
Operator: Thank you. And our next question comes from Bob Hopkins with Bank of America Merrill Lynch. Your line is open.
Bob Hopkins: Hi. Yes and good morning and thanks for taking the question. Just curious, one other follow-up on that second quarter comment and the slower growth that you're expecting there. Is that due entirely to a lower net benefit, Q2 relative to that $45 million that you saw in Q1, or are there other non-COVID related issues that are changing in Q2 versus Q1?
Jay Saccaro: Yeah. And Bob, I should caveat my commentary around our forecast before we get into -- before we talk specifically about Q2. We didn't give guidance for a real reason, which is, there is a very significant level of volatility that we're seeing with respect to the COVID virus and its impact on our business and demand generally. And in Q1, think about it. We gave guidance with only a few weeks left in the quarter, and we significantly beat the guidance on the top line, which is not a normal situation for Baxter, given the steady and durable nature of our portfolio. So I have to comment and just say, look, this is unprecedented environment that we're operating in. And the other thing I will say is, we talk about our expectations. We have one forecast, but our planning team, led by David Roman, has developed, I believe, six different financial scenarios that could emerge that we need to be prepared for, three lower cases and three shop or two shop cases. So we really are looking at a broad spectrum of things that could occur. And in light of that, that's why we suspended guidance. As it relates to Q2, yes, we believe that there was some incremental benefit in Q1. But then, secondly, Advanced Surgery will have a meaningful decline in the second quarter. In large part because of postponing elective surgeries, as we've all discussed in med tech, that's a real factor. It did not impact us in Q1, but it will certainly impact us in Q2. And I think that's probably the most volatile item. And as we think about elements like recovery and how that's going to occur, we're watching how elective surgeries will resume. But clearly, in April and May, that's a significant headwind that we're facing.
Bob Hopkins: Okay. Thank you for that. And then just one other thing I'm curious about, especially in light of the hiring that you guys announced. Could you talk about where you might be capacity constrained this quarter? Are there areas in your business that you just couldn't meet the demand because of capacity issues? And more specific about, or just any comments on capacity in the quarter?
Joe Almeida: Bob, good morning. And we are – if you all remember, about two years ago, we had the Hurricane Maria that taught us quite a bit of a lesson, and we had modified our supply chain to a point that our fluids today don't have any constraint with the exception of our MINI-BAG Plus, but we made arrangements for extra shifts, and we're putting out record amount. And so we predict that most of our fluids, with few exceptions, would be all flow – protective allocation in the next few weeks. The part – the area of our business that really has a capacity constrained based on the type of virus we have today is CRRT. CRRT is made in a couple of different places in the world between the machines and the filters and sets and fluids as well. That's the one that we are capacity constrained. We advised our partners and government agencies of that issue. We are seeing demand that is multiple times what we can produce. And we're working very diligently with our customers to serve our patients best. For the future, that will be an area because the type of therapy and adoption of the therapy that is probably going – is going to grow. We're going to work in diversification of manufacturing sites and put more locations for fluids across the globe. But that is the one that comes to mind at the moment. Also some of our drugs that are being used as a backup, for instance, for propofol. We don't make propofol in the U.S. We make propofol for other parts of the world. But dexmed is used as a backup drug for sedation. And what we're finding is that we are outstripping our capacity and have outstripped our capacity. So we're going to also be making more investments in our Galaxy technology as we move forward.
Bob Hopkins: Thank you.
Operator: Thank you. Our next question comes from Robbie Marcus with JPMorgan. Your line is open.
Robbie Marcus: Great, thanks. And Jay, glad to hear you're sounding pretty well. So glad you recovered okay.
Jay Saccaro: Thanks, Robbie.
Robbie Marcus: I was hoping – we've seen some other companies this earnings season, give us a glimpse of what April looked like to give us a view of what maybe the floor on performance could look like in second quarter. I was wondering, if you could offer similar insights here into what you're seeing in April across the different businesses?
Jay Saccaro: Sure. Look, April is in line with some of our expectations. We predicted that some of the largest impact with respect to the COVID virus will occur in April and May and then start to see some rebound in June and then Q3 and then better in Q4, as I described earlier. That is -- and I want to make sure, Robbie, that you walk away, that is simply one scenario that we're looking at. We are expecting the biggest declines to occur in Advanced Surgery in these months of April and May. And I would say, generally speaking, that's proceeding in line with the expectations, our base case expectations that we've laid out. And so, nothing wild in terms of incremental commentary I can share with you. Other than to say, Advanced Surgery is an important one. We'll want to see that start to rebound. But so far, April was as expected, with so many hospitals really closed to elective procedures, that impact came in, in line with expectations.
Robbie Marcus: Okay, great. And maybe just as a follow-up here. It seems like you're taking a lot of, I would say -- I would imagine, well received actions with your sales force. This is something I'm paying close attention to, as I think, companies that do the right thing for their employees, can probably rebound a bit faster coming out of this. I was hoping, you could just walk through some of the positive programs you've put in place for your employees? And do you feel like this puts you in a solid position, as you come out of COVID-19 with respect to your sales force and productivity?
Joe Almeida: Robbie, good morning. We have taken an action with our sales force, for instance, in Advanced Surgery, teaching them skills -- technical skills on other product lines that we have, having them call on surgeons, on catheter insertion. We're making sure that they are occupied. We're having global webinars that they're being conducted by the team. There's a significant amount of activity. And we find that we have a tremendous, tremendous sales force, and we're going to keep them engaged. We have -- as you can see, we have employees in the frontline. Not only the sales force, we have a service group that services all these machines across the globe, and they are every day in hospitals across the globe servicing them. We're treating them as well as our folks in manufacturing and the global supply chain. We gave them an incremental incentive to recognize their effort in such a difficult time. We also have our plans, for the most part, operating 24/7, almost all of our 50 plans with very few exceptions. So we're making sure that we're having their safety first in mind. It's our number one priority is employee safety. And the second priority is with them being safe, they can make product for our patients. So we're now in uncharted waters here, but I think having our employee's well-being first in mind has been from the get-go, what has taken us to the point that we are today. And they all have in their minds, the mission of saving sustaining lives is what drives us. So we're very, very, very grateful to all the 50,000 folks who work for Baxter who are in this battle with us.
Robbie Marcus: Thanks a lot.
Operator: Thank you. And our next question comes from David Lewis with Morgan Stanley. Your line is open.
David Lewis: Good morning and congrats on a very durable quarter. I -- just a couple of quick questions for me, Joe. Maybe I'll start with you. Pump dynamics, Joe, I'm assuming your pipeline was very strong heading into 2020. And I don't think your prior guidance implied any update or upside from your competitors' recall. But just sort of curious what you're seeing competitively and how the balance of sort of new pumps looks relative to replacements and how you think that changes across the year? And then I had a quick follow-up.
Joe Almeida: David, good morning. We think that you have a bolus of demand that is really difficult to discern between what is just we and our -- and we know the competitive accounts that were going forward, the competitive accounts we think we're going to win. And now we have this bolus of demand coming in with more need for pumps as the patients are requiring a multitude of pumps, more pumps that they would otherwise in situations in the ICU. So, we're trying to kind of separate them and understand. We ramped up our production of Sigma Spectrum in the U.S. tremendously. We put extra shifts, more people. We are procuring raw materials. We're expediting raw materials. We're paying sometimes premium to get raw materials faster. And so we're producing as much as we can. Coincidentally, this week, we just got approval in Canada for our new pump platform, the NOVUM IQ. We also have our international platform for Evo IQ being approved in a multitude of countries and a lot of orders in Australia, and we are getting approvals in Brazil, and we have approval in Colombia. So, we're starting to see that -- and also in the U.K. with NHS. So, we're seeing a lot of movement on the front business of Baxter. We have -- as you know, we have filed for 510(k) for our NOVUM IQ platform in the U.S. We also file for EUA here because we think we can make -- we can bring more pumps beginning in July NOVUM IQ to supplement the demand for our current Evo IQ. So, we're doing everything we can. In terms of competitiveness, it's tough to see the moment how things are going. People are so focused, David, in the current situation. Nobody is thinking about something two months from today. I think the hospitals are stripped for resources and it would not have a conversion at this moment in time. What you have is demand that has spiked up quite a bit, but our folks are really planning for the future. I think our pump platform is shaping up to be a great platform. And then the addition of some monitoring capabilities will make us strong as you can -- if you -- you heard this morning and you read this morning, we had made a couple of investments in algorithm technology and artificial intelligence technology.
David Lewis: Okay, very helpful, Joe. And then maybe just a question for Jay or for Joe. One of the things that we're hearing in light of COVID as sort of hospital administrators are waking up and asking questions around how much inventory they should have been keeping for critical care products in light of, obviously, in light of COVID. So, I'm kind of curious what you guys are seeing from an inventory perspective and how you think you and customers are going to manage inventory in light of COVID heading into the hurricane season and frankly, heading into next flu season? Thanks so much.
Jay Saccaro: Yes. That's a -- it's a good question, David. And I think that the whole integrity of the supply chain is a critical focus for companies like us with medically necessary products and for hospitals and distributors that serve them. I mean, so the answer is, it's hard to say at this point. But for us, we want to ensure that we have available supply to meet patient needs under a whole variety of scenarios. And by the way, you raised a really good point, which is going into hurricane season. There is talk of a challenging hurricane season this year. And so, ensuring that, we have adequate supply means, at least for this year, at least until the pandemic situation has stabilized, and we get through the hurricane season, we will be carrying extra inventory of critical products. Now that did not show up in our Q1 results, because of the sales surge that occurred in the last couple of weeks in March. Our days inventory on hand was actually below our expectations. But what will happen as we approach the latter parts of the year is, we will build in those areas that are most sensitive and critical to the current environment. And I think, frankly, the same will be true of hospitals as well. I think, hospitals will evaluate what levels of inventory that they need to carry going into these kinds of crisis. It's clear that certain of them did some inventory build in March, and a lot of that has been consumed already. But, I think, each hospital will have to evaluate this on their own merits. Maybe, Joe, you could add some further color commentary here?
Joe Almeida: Sure. So, David, what you also will see is stockpiling. From this point on when the demand surge is up a little bit, I think hospitals, I don't know if they will have the capacity to stockpile significant volumes of products. There will some probably, but I think you're going to see governments thinking differently about how they face a calamity, such as this virus. So I think it's teaching a lot of lessons to the whole to the whole supply chain, government, private. A lot of PPPs, public-private partnerships, you're going to see happening in terms of preparedness. So we'll see a lot of that probably in the third and fourth quarter as this is off through the summer and how entities across this spectrum will react.
David Lewis: Great. Thanks so much. Great color.
Operator: Thank you. Our next question comes from Larry Biegelsen with Wells Fargo. Your line is open.
Larry Biegelsen: Thanks, guys. Good morning. Thanks for taking the question. Jay and Clare, I'm glad you're both feeling better. So, first, I just had one on China and one on the P&L. So first, on China, could you talk a little bit about Asia Pacific was obviously quite strong in Q1. Could you talk about what you're seeing there, the pace of recovery and how much of a read-through do you think that is to the rest of the world for your business? And then I have one follow-up.
Joe Almeida: Larry, we're seeing the -- some normalcy coming back into Asia. But I want to give you some color on Baxter's business being slightly different in China, primarily in parts of Asia than it is in Europe and Americas. We are a heavy PD peritoneal dialysis companies in China, so that's a chronic disease. We saw a stockpiling going on in the first quarter there and then being consumed, but that business is consistent and constant. We're starting to see some hospitals in China going back to normal in terms of surgery, not 100%, but we probably will see through the second quarter, the return to normalcy for great deal of businesses in Asia, with perhaps an exception to Japan. I think Japan still has not figured out. They're locked down. And I think that is going to be a little slower than the rest of Asia. Australia is already thinking about a possible second wave and then working on preparedness for that as far as we can see. So that is the reason why Asia was strong for us in the first quarter. But we see the normalcy coming in, but don't forget our business in Asia, primarily in China is mostly home care peritoneal dialysis chronic business.
Larry Biegelsen: Thanks for that, Joe. And, Jay, thanks for the helpful color on the P&L and a nice quarter on the margins. Could you maybe help tie it together for us a little bit? There seems to be some puts and takes. Can the operating margin be up year-over-year, given that incremental spending, but the trade-off with lower travel? And the two below the line items, I don't think you touched on where the other income and tax. How should we think about that? Thanks for taking the question, guys.
A – Jay Saccaro: Yes, Larry, we're talking about severe impacts in terms of incremental spending that will drag down the margin. And so while I'm not prepared to comment on year-over-year margin growth, I am prepared to say that we really can't offset the $150 million in incremental expense from an operating margin through SG&A savings and so on. That's not likely going -- that's not going to happen. So that's -- and again, we view those costs as absolutely essential to the long-term success of our business because for us, we have to be there right now for our customers and our employees, ensuring that we have the right amounts of PP&E that we're compensating employees who need to be at work in challenging situations. All of those factors are, first and foremost, on our mind. And like I said, that will be a drag on operating margin year-over-year. As it relates to in the quarter, tax rate, business mix was sort of favorable from a tax rate standpoint. So we saw a little bit of benefit relative to our expectations. Relative to year-over-year, it was a downside in large part because of some FAS 123 are excess benefits that we experienced in Q1 of last year. And then as it relates to other income, the two factors, the largest one being we've offloaded the pension plan as part of an important initiative that our treasury team undertook throughout last year and culminated in the December transfer of assets. And so as a result of that, we're no longer seeing pension income below the line. And then secondly, we did have a loss. We had -- there was a balance sheet position that we held, I believe, it was your long and a movement caused a loss in that particular item, which contributed to the year-over-year decline in other income.
Larry Biegelsen: Thanks so much, Jay.
Operator: Thank you. Our next question comes from Pito Chickering with Deutsche Bank. Your line is open.
Pito Chickering: Good morning, guys. Thanks for taking my questions. A few questions for you on PD, how much COVID impact was there for new starts for patients both in the U.S. and outside the U. S.? And how is it trending today? And when you talk to dialysis providers, how much pent-up demand are you hearing for patients who want to move into the home? And then I have a follow-up.
Joe Almeida: Pito, good morning. We saw a healthy level of PD starts, but nothing different than what we had planned. I think what you're going to see is a little bit of a reduction and then a pickup towards the middle of the year because PD is dependent upon catheter insertion. Despite the fact the American Nephrology -- Society of Nephrologists had recommended and had said that this is not an elective procedure and put the procedure as necessary. Some hospitals are doing that. In talking to a colleague of mine in the Northeast, he's chief surgery of a hospital, he said that they were doing -- one of the few surgeries they were doing was catheter insertion, okay? But not everybody had the luxury. Some of the hotspots, I'm sure that other than the PD insertions that were done, for instance, in several hospitals in New York City, because we sold a significant amount of therapy into New York to alleviate the pressure on CRRT for patients in the ICU, it's called the acute PD. We will see probably a small -- a slowdown of PD, and then it will pick up through the rest of the year. The demand is there. The home therapies is the way to go for the right patients. And I think the momentum is not going to be in the long-term altered. It's just now you have this crisis where the insertion becomes more of an issue. You had a second part to your question. What was that?
Pito Chickering: So the second part was, how much did the supply impact from Revaclear impact the renal business right now? And was there supply constraint, because you're converting manufacturing over into THERANOVA?
Joe Almeida: Well, it's around $5 million, okay? Around $5 million, the answer on the Revaclear. What we're finding is, our plants producing Revaclear are producing the record level right now, both one in the U.S. and one in Germany. And as we prepare towards the end of the year to convert some of our production lines into THERANOVA, okay? So as a THERANOVA application, the Novum is going through the FDA, and we have -- we're preparing for the launch. We're going to start converting our production lines, and we need to start doing that in Germany. So you're going to see that swap. That was about $5 million.
Pito Chickering: Great. Thanks so much.
Joe Almeida: You're welcome.
Operator: Thank you. And our next question comes from Danielle Antalffy with SVB Leerink. Your line is open.
Q – Danielle Antalffy: Hey. Good morning, guys. Thanks so much for taking the question and congrats on a really good quarter. And thanks for all you're doing in this crazy environment and helping patients get better. I just -- I have a quick question, a follow-up on PD. It's a non-COVID related question. And just curious on any progress you're hearing being made on the kidney initiative. And how we're thinking now, you're making significant investments ahead of potentially that initiative going into place to build for a higher number of PD patients. Where are we with that? How soon can we know? And how does that change the PD outlook long-term?
Joe Almeida: Anyhow, good point. We don't see the long-term impact on the AAKHI. You see a pause because I think the administration is quite busy right now with other matters. But speaking to an official the other day that is still front and center for the White House. They want to move forward with this. And I think will be just a matter of time. We have done a significant amount of simulations in Monte Carlos and all kinds of work in understanding capacity demand. And we're ready in July to speak to our Board again on a Phase 2. Phase 1 is already being put in place, okay? So, capacity is being augmented. We're going to start seeing more capacity coming in next year. But then the thing is projecting two or three years down the road, we're going to need to make that investment. So that investment is already planned. We know where it's going to be made for the most part. We have some decisions to make, but we're down that path. So, what you see with this unfortunate COVID-19, it is a slowdown in decision-making, which we think is just a matter of time.
Danielle Antalffy: Got it. Thank you. I'll leave it there. Thanks so much.
Joe Almeida: You're welcome.
Clare Trachtman: Hi Katherine, this is Clare. We have time for one more question. And then following that, I'm going to turn it back over to Joe.
Operator: Okay. We will -- our next question comes from Matt Miksic with Credit Suisse. Your line is open.
Matt Miksic: Hi, thanks for squeezing me in. So, I'll just -- I'll keep it to one. Just one of the things that a lot of other companies have talked about during -- as we approach and go through the early parts of earnings season here is just the drops in the second quarter, driven obviously by implants and like surgeries and things like that. I'm wondering if you could talk a little bit about, obviously, much of the exposure that you have at Baxter is not necessarily in things like implants, but in sort of advanced surgical supplies that are used in the OR, maybe talk a little bit about some of the stock in flows. And I think, Joe, you touched on this earlier in terms of some of these key elements of supply being stocked or stockpiled into the back half of next year as governments think differently about these products. But maybe just, Jay or Joe, if you could help us understand some of the flows that would have maybe not impacted Q1 so much and maybe you're going to impact Q2 and how it plays out for the rest of the year?
Jay Saccaro: Sure. So, Q2 -- let's put it this way. Q1, the $45 million, there was certainly some pre-buy in that number in the sense that hospitals were anticipating a COVID crisis coming to the U.S. And so we did see some advanced purchases in bias of critical solutions and supplies. Now as we -- how much of that has been consumed, we believe the vast majority has been consumed. And we will see continued sales attendant with the crisis that's ongoing in a large component of our portfolio. But we have about 15% of our sales between our advanced surgery business, along with a few other areas like some of our inhaled anesthetics, which are very much dependent on elective procedures taking place in hospitals. And to the extent that those procedures are delayed or curtailed, we will see a negative impact. We expect the biggest, most prominent impact to occur in the second quarter. But again, how does the second wave evolve? How does -- how long is wave one? How severe? How do hospitals react? There are so many variables that are input into our demand signals and so many scenarios that we've developed. That's why we've kind of put guidance on the side for the time being. We'll watch to see how things evolve this year. We'll try to understand better what is the potential wave two and a wave two impact. And how does that materialize? And at that point, I think we'll be in a better position to comment on financial performance. And in particular, financial performance in some of these most impacted segments. Joe mentioned something, which was quite a good point, which is stockpiling that might occur at a national level for various countries looking to shore up supply of life-saving and sustaining products. We will watch that very carefully and look to support them to the extent that we can. So, with that, maybe I'll turn it over to Joe for some closing comments.
Joe Almeida: Thank you all for coming -- to calling in today and listening to our earnings call. We, at Baxter, are very proud of what we're doing today, and we have done everything we can to attend to patients across the globe. We wish you all to be safe and well. And hopefully, we can return to normalcy for our next earnings call. So, to all of you, thank you very much, and have a good rest of your week.
Operator: Ladies and gentlemen, this concludes today's conference call with Baxter International. Thank you for participating. You may now disconnect. Everyone, have a great day.